Operator: Good day, everyone, and thank you for standing by, and welcome to EverCommerce's Fiscal Year 2022 Second Quarter Earnings Conference Call. My name is Jamie, and I will be your operator for today. [Operator Instructions]. As a reminder, today's conference call is being recorded today, Monday, August 8, 2022.  At this time, I'd like to turn the conference over to Brad Korch, SVP and Head of Investor Relations for EverCommerce. Sir, please go ahead.
Bradley Korch: Good afternoon, and thank you for joining. Today's call will be led by Eric Remer, Ever Commerce's Chairman and Chief Executive Officer; and Marc Thompson, Ever Commerce's Chief Financial Officer. Joining them for the Q&A portion of the call is Ever Commerce's President, Matt Feierstein. This call is being webcast with a slide presentation that reviews the key financial and operating results for the 3 months ended June 30, 2022. For a link to the live or replay webcast, please visit the Investor Relations section of the EverCommerce website, www.evercommerce.com. The slide presentation and earnings release are also directly available on the site. Please turn to Page 2 of our earnings call presentation while I review our safe harbor statement.  Statements made on this call and contained in the earnings materials available on our website that are not historical in nature may constitute forward-looking statements. Such statements are based on the current expectations and beliefs of management. Actual results may differ materially from these forward-looking statements due to risks and uncertainties that are described in more detail in our filings with the SEC. We undertake no obligation to publicly update or revise these forward-looking statements, except as required by law.  We will also refer to certain non-GAAP financial measures to provide additional information to you, our investors. A reconciliation of non-GAAP to GAAP historical measures is provided in both our earnings press release and our earnings call presentation.  I will now turn the presentation over to our CEO, Eric Remer.
Eric Remer: Thank you, Brad. EverCommerce reported very strong second quarter results that outpaced our guidance for reported revenue and adjusted EBITDA once again. We accomplished this while continuing to balance our growth with profitability and free cash flow generation. We continue to believe EverCommerce has a massive opportunity to drive the digitization of the service economy, which is still in its very early innings and will provide us a strong tailwind to fuel growth for years to come. On today's call, I will highlight second quarter results and discuss key customer trends and metrics before turning the call over to Marc to dive deeper into our financials.  As I've already mentioned, we exceeded the top end of our guidance revenue. For the quarter, our reported revenue growth was 30%. And normalizing the effect of M&A, our pro forma revenue organic growth was 16%, a solid result given the tougher comp. And on an LTM basis, organic growth was 20%. We operate the business in a balanced way, investing in our solutions to drive growth while tightly manage our cost structure to support scale of our operations and increase operating leverage over time. This financial discipline continues to yield good results. 20% adjusted EBITDA margin in the quarter and 14% adjusted unlevered free cash flow margins.  Our customer metrics for the quarter were also strong as our upsell cross-sell motions continues to mature. We reported 26% year-over-year growth in our total payments volume with TPV and maintained our annualized net revenue retention above 100%. As a quick reminder, ever Commerce provides vertically tailored end-to-end SaaS solutions that support the highly diverse workflows and customer interactions of professionals in home services, health services and fitness and wellness services use to automate manual processes, generate new business and create more loyal customers. EverCommerce is leading the digital transformation of the service economy with a mission to simplify and empower the lives of business owners whose services support us every day.  Our durable growth is bolstered by the huge underpenetrated market opportunity. service-based businesses are the backbone of the U.S. economy and small businesses employ the maturity of service professionals. We estimate our North American and global TAM to be $520 billion and $1.3 trillion, respectively. Last quarter, I spoke about the strength and diverse nature of our customer base. And that's an even more pertinent point to make today, given the discussion of the macroeconomic environment across Wall Street and with you, our investors and analysts. We serve over 600,000 paying customers across 3 main verticals, and many subverticals, which provides us both customer and vertical diversification. On top of this, many of our customer services are essential or nondiscretionary and all of them are services, which are less affected in recessionary times than goods. In any economic downturn, consumers will still need to fix their air conditioning and plumbing leaks, go to the doctor and get their haircut, and we anticipate this fact to provide resilience for our business.  EverCommerce offers tremendous value to our customers by providing solutions tailored to unique workflows and interactions that various services require. At the core, we provide system of action software across many micro verticals. This is the ERP for these smaller service-based businesses and the way in which each of our customers generate new business, fulfill services, manage day-to-day operations and engage with our customers. Our software solutions not only provide the systems of action necessary to run their daily business processes, but also the marketing solutions to attract the business, to build in and payment solutions to collect effortlessly and the customer experience solutions to create predictable and convenient experiences.  Our solutions are cost effective, easy to implement and purpose-built for the service businesses. We truly provide end-to-end solutions that our customers need to compete and grow in a marketplace that is rapidly transforming. Our solutions help our customers optimize their business and operate in a more efficient manner irrespective of their end customer behavior. This provides continued demand for our solutions which is underscored by the strength of our solutions value proposition at attractive pricing. Our second quarter results are strong, and to date, we've seen middle impact on our business from the macroeconomic environment.  Core SaaS subscription and payment revenue would represent a large majority of our revenue, continues to perform well and be in line with our expectations. We have seen some slower growth year-over-year with certain marketing technology solutions isolated to those services that are more discretionary in nature and represent a small portion of our revenue. Having said that, we are not going to rest comfortably on our solid first half performance. Our team has proven its ability to balance invest unit growth while driving profitability. So we'll continue to tightly manage the trajectory of our investments to minimize any potential impact to the macroeconomic climate.  Our growth engine is focused on new customer acquisition and also expanding our customer relationships by providing additional products and services, which grows their average revenue and improves retention. With over 600,000 customers using our vertical software system of action, we have a massive embedded opportunity for upsell and cross-sell. We have and we'll continue to measure our progress by looking at the growth in number of customers that are taking more than 1 solution. We ended the quarter with more than 65,000 of our customers using more than 1 solution. That's a 35% increase year-over-year. Approximately 10% of our total customer base are taking more than 1 solution today, providing a very long runway for continued growth and expansion.  Integrated billing and payments is one of our add-on solutions. Consumers have come to expect payment for products or services to be digital, easy-to-use, mobile-friendly and secure for business owners, a seamless payments process, entire conversion rates, better efficiency, accelerated cash receipts and increased revenue. Ever Commerce's Payment Solutions provided an intuitive front-end experience for consumers and is tightly embedded with our various software applications. We measure and report our total payment volume, or TPV, quarterly, and we ended the quarter with an annualized TPV of approximately $10.1 billion, which represents 26% year-over-year growth.  We expect TPV to grow as we continue to embed our payment solutions into our core systems of action. Embedded payments is a key lever for future growth. It not only provides ample opportunity to support continued organic growth but also provides better customer economics as customers who embed payments yield higher ARPU and improve retention. We will continue to prioritize integration and revenue expansion of our payments and adjacent market and customer experience solutions across our entire solution set.  Now I'll pass it over to Marc.
Marc Thompson: Thanks, Eric. Today, I'll review our second quarter fiscal 2022 results, provide our outlook for the third quarter and also update our full year fiscal 2022 guidance. As Eric noted, our second quarter results were strong, having exceeded the high end of our guidance range for both revenue and adjusted EBITDA. Total revenue in the first quarter was $157.2 million, up 30% from the prior year period and above the high end of our original guidance.  And within total revenue, subscription and transaction fees were $115.6 million, up 36% from the prior year period, and Marketing Technology Solutions were $35.2 million, up 10% from the prior year period. We manage the business for sustainable organic growth and selectively utilize strategic acquisitions to augment this growth. As a result, we believe it's important for investors to evaluate our business growth on a pro forma basis, which is how we measure and manage the business internally. We calculate our pro forma revenue growth as though all acquisitions closed as of the end of the latest period were closed as of the first day of the prior year period, including before the time we completed the acquisition. We believe the pro forma growth rate provides the best insight into the underlying growth dynamics of our business.  Our pro forma growth rate exceeded 16% year-over-year in the second quarter, despite a tougher year-over-year comparison. Our LTM pro forma growth of 20% smooths this effect and is a better representation of our organic growth profile. We continue to balance growth with a focus on profitability, which is evidenced in our margin profile. Second quarter adjusted EBITDA was $30.7 million, representing a 20% margin and was above the high end of our guidance range. As a reminder, the year-over-year change in adjusted EBITDA margin is reflective of our investments in growth and scalable operations, the impact of public company costs and dilution that was expected from the Drchrono acquisition.  Adjusted gross profit in the quarter was $102.1 million, representing an adjusted gross margin of 65%, a 30 basis point sequential improvement. As we described on our first quarter call, adjusted gross profit is modestly impacted by the inclusion of Drchrono revenue, which includes both SaaS software and lower margin revenue cycle management solutions as well as the mix of our solutions within marketing technology.  So now I'll turn to operating expenses. Adjusted sales and marketing expenses were $28.5 million, or 18.1% of revenue, approximately flat compared with 18.2% of revenue in the prior year period. Adjusted product development costs were $16.9 million, or 10.8% of revenue, up from 9.9% of revenue in the prior year period. This increase reflects investments in our technology teams and development programs to support growth of our various solutions as well as centralized security operations, information technology and cloud engineering. Adjusted G&A expense was $26 million, or 16.5% of revenue, up from 15.4% of revenue in the prior year period due to investments in scalable operations in our public company infrastructure which have been significant following our July 2021 IPO.  Our centralized operating model aggregates many of the functions of our various operating units at headquarters, including most G&A functions, and we believe is a key component of driving operating leverage over time. We continue to generate significant free cash flow as we invest in and grow our business. our adjusted unlevered free cash flow for the quarter was $22.3 million, representing 13% year-over-year growth and a 14.2% margin. On a trailing 12-month basis, our adjusted unlevered free cash flow was $81.1 million. Levered free cash flow, which accounts not only for debt service, but also various working capital adjustments, was $6.5 million in the quarter. On a last 12-month basis, levered free cash flow of $40.6 million illustrates our balance sheet flexibility.  Over the past few quarters, you've heard us pound table on our approach to balancing growth and profitability, and now I'd like to share another one of our mantras at the company, which is efficient allocators of capital. The resiliency of our business and strong cash -- strong free cash flow generation allows us to operate our business with an optimal capital structure that includes modest levels of leverage, which ultimately allows us to deliver enhanced equity returns to our shareholders. We also regularly evaluate the different ways we can allocate capital and strive to deploy that capital in the most efficient manner that benefits our stakeholders, including stockholders, lenders, customers and employees.  With the cash that we're generating, we recently implemented a short-duration share repurchase program. On June 14, our Board of Directors authorized a 6-month program calling for up to $50 million in share repurchases. Through the end of June, we repurchased 296,000 shares at an average price of $8.98 resulting in $2.7 million of cash used. We ended the quarter with $105 million in cash and cash equivalents, and we maintain $190 million of undrawn capacity on our revolver. Total net leverage as calculated per our credit facility at the end of the quarter was approximately 3.7x, consistent with our financial policy, and we have no material maturities until 2028.  I'd like to finish by providing our outlook, beginning with the third quarter. For Q3, we expect total revenue of $159 million to $161 million and we expect adjusted EBITDA of $31.5 million to $32.5 million. And based on solid second quarter results, we are raising our revenue expectations for the full year. We now expect total 2022 revenue of $626 million to $630 million and adjusted EBITDA of $123 million to $125 million. Our guidance reflects our strong conviction in our business and market opportunity as well as our commitment to investing to drive growth and scalability of our operations. Our guidance also includes the impact of foreign exchange rate fluctuations on our business. Just under 5% of total revenues are denominated in currencies other than the U.S. dollar, namely the New Zealand dollar, the British pound and the Canadian dollar. We estimate the recent strength in the U.S. dollar has created a $1.2 million headwind to our second half 2022 revenue forecast and modest impact to profitability. Our 2022 outlook does not include any potential impact of M&A activity that could take place in the year.  In summary, Ever Commerce reported strong second quarter results which underscored our team's ability to deliver on both the top and bottom line. We believe EverCommerce is well positioned to be a primary beneficiary of the digital transformation that is just getting underway among service SMBs. Our focus is on continuing to execute our strategic priorities, and deliver consistent profitable growth that we believe can generate significant value for our shareholders.  Operator, we're now ready to begin the question-and-answer section of the call.
Operator: [Operator Instructions]. Our first question today comes from Matt Hedberg from RBC Capital Markets.
Matthew Hedberg: Strong results here in a tough environment. Maybe I'll start with you, Eric. I think your commentary on durable end markets, I think you said many of your end customers are essential workers are nondiscretionary. That said, in a more challenging time, do you change your sales focus to focus more on higher ROI solution, something that can maybe help their customers do even better in a challenging market environment? Or is it sort of just like no real difference in kind of the go-to-market focus?
Eric Remer: Yes, Matt, thanks for the question. It's a great question. And I think, fortunately, for us and the business, I think that's what our solutions provide. So I think the core value proposition of EverCommerce's core solutions and then really focused on that main system of action is really built for these environments in general, to help these businesses be more successful, manage the business more efficiently and grow even in difficult times. And so I think we're kind of setup for these types of environments and nothing that we would change from a go-to-market or a product suite because that's really what the core value proposition of the businesses are today.
Matthew Hedberg: Great. That's helpful. And then, Marc, obviously, I think in the prepared remarks, Eric talked about maybe some slower spend and some marketing solutions. But -- you just -- I think you just beat the quarter by about $4 million from a revenue perspective and you raised the full year by about $2 million. I mean is that kind of the right way to think about how you embedded additional conservatism maybe not passing the full beat through to give yourselves to maybe a little wiggle room just in case in the second half?
Marc Thompson: Well, I think guidance incorporates the macro climate for sure. It also includes the FX headwind that we called out at $1.2 million. We, in Q1, I hadn't seen a lot of that in Q2. You guys follow the currency markets more than us, but there was quite a move and we saw a pronounced effect. And as we quantify that in the back half of the year, we try to call that out because that is part of that as well.
Operator: Our next question comes from Samad Samana from Jefferies.
Samad Samana: A lot of beat and raise, so great to see the numbers in what has been a tough environment. Maybe first one, just on -- Marc, on the expenses side, just given the company talking about the growth opportunity, I was just curious, this is the first time we've seen kind of the adjusted dollars for sales and marketing and R&D go down a little bit quarter-over-quarter. How much of that is just maybe seasonality versus prudence versus a tough hiring environment? Or is that -- just help me understand maybe why expenses would have gone down for those 2 quarter-over-quarter?
Marc Thompson: You mean sequentially or year-over-year? I'm assuming you mean year-over-year.
Samad Samana: From 1 to 2 -- no, from 1Q to 2Q, it was very modest, but I'm just curious if you guys are pulling back on your own hiring or your own spending just as I look at the expense line items?
Marc Thompson: Yes. No, I would say, frankly, it's pace of investment more than anything else, Samad. We -- there as a percent of revenue, obviously, things will fluctuate based on the seasonal patterns of the business. But I think Q1 to Q2 and looking forward to Q3, I mean, to be candid, in Q2, there were some investments that didn't get made, and those are going to spill into the second half.
Samad Samana: Great. And then, Eric, maybe stepping back, just -- I know you commented on the macro environment, and you're absolutely right is we're all still going to need things fixed in our house and to get haircuts and whatnot. I'm just curious if you're seeing maybe any change in behavior -- at the top of the funnel for your inbound marketing efforts that you have? Or just anything you're seeing in conversion that's worth calling out as we think about both idiosyncratic to EverCommerce's efforts and maybe if there's any kind of macro overlay on that.
Eric Remer: How are you doing? It's a great question. By the way, we look at this on a little daily basis because we're acutely aware of the world we live in right now. And as I stated up front, to date, it's really been on the core business, business as usual across entitled funnel process. I did bring up that in the our kind of marketing services discretionary, like we have some [indiscernible] the ones in that category. Matt, what are some of the other ones in that category?
Matthew Feierstein: I mean, just kind of more discretionary home improvement type customers, specifically in the marketing technology side where Eric had previewed in his comments that we were seeing some slowering of those investments year-over-year, but thinking about that really coming off of the last 2 years COVID high. And this year, just a light slowing down there. But relative to our B2B funnel. No, we really haven't seen the impacts of kind of those macro factors.
Eric Remer: Yes. Today, it's kind of been business as usual.
Operator: Our next question comes from Brad Reback from Stifel. .
Brad Reback: On the TPV, did you see any difference at all over the course of the quarter and then into July?
Eric Remer: Go ahead, Matt.
Matthew Feierstein: Yes. No, again, a strong quarter. We're super excited about the continued year-over-year growth in that annualized TPV metric. So no real change across the course of the quarter. we remain incredibly focused on, again, acquiring new customers that we know through our marketing and sales motion through our product packaging to drive that new embedded -- the new adoption of embedded payments and working deepening those integrations and payment workflow capabilities to expand the existing customers. So those motions have remained consistent quarter-over-quarter, and we really didn't see any drag throughout the quarter, again, highlighted by that nice 26% year-over-year growth in that metric. .
Operator: And our next question comes from Ryan MacWilliams from Barclays.
Unidentified Analyst: It's Jack on for Ryan. So another strong quarter of net retention and upsell. Any kind of color around how gross retention is looking? And any sort of trends within seed counts within your existing customer base?
Eric Remer: I missed the second part of the question. Let me answer the first, and you could answer the second one. So I can from a gross tax standpoint, the numbers remain the same. I think we remain kind of annual attrition or gross retention and then net NRR is over 100%. So that's been -- it's been consistent for honestly years, just really consistent in the SMB space, and we haven't seen any degradation in that number. And I apologize, I missed the second part of the question. .
Unidentified Analyst: Second part was just any shifts in trends within seat counts within your current customers?
Eric Remer: No, not today.
Matthew Feierstein: Nothing significant. Again, that upsell cross-sell remains a significant motion to the business, and we continue to have nice success. You saw the growth in customers taking multiple products year-over-year. So we're continuing to build and flex that muscle. No change that we would report quarter-over-quarter there.
Unidentified Analyst: Got it. And then one more quick one. Just any color around strategy and timing of buybacks going forward? That's it for me. .
Eric Remer: Any color around strategy on buyback? What continuing I think it's the buyback in general. Do you want to address that? .
Bradley Korch: Sure. This is Brad. Yes, I mean, look, the program was put into place as a short duration opportunity to take advantage of the free cash flow that we are generating and really Peter as the right capital allocation decision for the company given where the stock is trading and the opportunities we have to deploy that capital.
Operator: And our next question comes from Bhavin Shah from Deutsche.
Bhavin Shah: Congrats on the quarter. just on acquisitions. I know you haven't done a deal in a while, and it's been a core part of the company's DNA. Can you maybe just speak about the M&A environment, what are you seeing in terms of private market valuation and if anything has changed there? And then I guess to that buyback point, how should we interpret the buyback news relative to more near-term of the opportunity?
Eric Remer: Yes. No, thanks for the question. Appreciate it. We kind of -- it's really been a similar answer to the last couple of quarters. There still remains a fairly large dislocation between public market valuations and private market valuations, they have not been adjusted or come down to kind of new SaaS realities or at least the SaaS values that the public markets are receiving today. So we are very active. We're looking at things on a very active basis. But as we kind of continue to say, this business, independent of M&A, we believe strongly will grow in that mid- to high teens range for years to come, and utilizing M&A to compound that when we see those opportunities. But based upon the kind of the growth in the facility of the business, it allows us to be very disciplined and patient to let the market come back to us. So we do expect over time to get back into the M&A market, but we're going to wait for those opportunities to come to us. . And then the second part -- yes, the second on the buyback, I think Brad had mentioned, it really is an allocation of capital, and we'll continue to look at that. I mean if we -- if we had the chance to buy a company at the value that Ever Commerce was at, at the kind of quality of company that ever Congress is, we'll be buying that all day long. And so we looked at that very strategically, and we thought made a lot of sense in terms of utilization of capital.
Bhavin Shah: Makes sense. Just a quick follow-up for Matt -- I'm sorry, Marc. Just in terms of the slowdown in terms of some of the discretionary areas within the marketing assets, can you provide any further insight into maybe the size or magnitude of the impact and how that kind of progressed through the quarter if you got worse the impact closer to June.
Marc Thompson: So I think that probably there was a little bit of slower growth as it progressed through the quarter, certainly consistent with what we're seeing in the quarter -- or excuse me, in the broader macro environment. But nothing terribly big there. And as we mentioned, it's a pretty small part of the business. So not terribly concerning. So pretty minimal impact so far, Bhavin.
Operator: Our next question comes from DJ Hynes from Canaccord.
David Hynes: Nice quarter here. Marc, 2 for you, both on the numbers, so I can just ask them concurrently. First is just confidence in pro forma growth kind of staying in that 15% to 20% range in the second half? I'm not exactly sure what acquisition contribution is contemplated in Q3. So that's number one.  And the second is just composition of debt, Remind us like fixed versus floating and the impact of rising rates on the business?
Marc Thompson: Yes. So -- so in terms of pro forma growth, heavily convicted in that 15% to 20% goal that we've set and believe that the business is performing very well as evidenced by our ability to raise guidance for the year. And feel like we're well positioned for years to come in that target range. In terms of debt, the $550 million is all floating rate. There is -- there are a couple of seller notes to the tune of about $5 million in total, both of which actually come off this year in the second half. So you should think about the facility as $550 million of floating rate.
Operator: Our next question comes from Patrick Walravens from JMP.
Unidentified Analyst: This is on for Pat. Do you find that in a tougher environment customers are being any more or less receptive to adopting your integrated payment solutions as they look to streamline the number of vendors they pay?
Eric Remer: Thank you for the question. By the way, to date, we have not seen any type of degradation in the upsell cross-motion specifically in payments or really any other products at this point. So in many ways, the integration into the payment ecosystem allows them to get paid faster, allows a more efficient process for them to collect their receipts and generate our revenue. So we have necessarily seen a massive uptick but it's really been business as usual. Matt, to add to that.
Matthew Feierstein: No. I think to the point Eric made earlier, our solutions are actually purpose-built for these times. So connecting embedded payments through that system of action to his point, allows those customers to collect funds faster, to have more integrated processes that saves them time. So I think we're actually well set up for these times.
Unidentified Analyst: And then just as a quick follow-up. Have you started to pull the pricing lever at all for your system of action solutions given the inflationary environment? And is this something you can use to ultimately drive payments adoption?
Eric Remer: That's something that we're working on. We haven't made a kind of a -- we haven't utilized that lever at this moment in time to kind of increased pricing just is inflation. We're constantly focused on price to value and -- but we're looking as you can imagine, not just utilize levers to price to value as the market shifts, but also look from our bundle opportunity, to your point, to get additional uptick in payments revenue. Anything to add Matt?
Matthew Feierstein: No, Eric is spot on. Price value core to who we are, how we think about going to market and a regular part of our rhythm of evaluation. So I haven't specifically done anything from an inflationary standpoint, but just continue to look at our opportunities across our solution set consistently to find out where there's opportunity. Obviously, we see inflation flow through from a payments perspective as our customers potentially, there's impact of inflation on their services and solutions. So we do see that come through as a benefit from a payment volume standpoint.
Operator: And our next question comes from Alex Sklar from Raymond James.
Alexander Sklar: So really nice success on the multi-solution customer growth this quarter. Can you just help frame what the contribution is from those 65,000 multi-solution customers relative to the rest of your base? And what kind of uplift are you getting on average in terms of getting the customer to that second solution?
Eric Remer: Last quarter, we did put in within the deck -- on the top of my head, I think it was a 3x uptick in ARPU and increase retention by over 200 basis points. And so it's obviously a very positive thing. We would like to penetrate further and deeper, which we believe it will over time. We know that these customers not only stay longer, but spend more with us. So every product is a little bit different, but that was from one of the solutions that we kind of broke out in our last quarter.
Alexander Sklar: Got it. Okay. Well, just I guess the follow-up, given that kind of those numbers. On the product packaging broadly, you're having successfully embedded payments. How does that change your thoughts on bundling or embedding kind of other services into your systems actions?
Eric Remer: We look at it as an ongoing opportunity. I think the -- we've been able to digest the organizations we have and effectuate the embedded upsell, cross-sell is literally core to what we're doing on a daily basis. Like every company in the world, we'd like to stop the world and do it all at the moment, but it just takes time to do it effectively and making sure that we're first and foremost, providing the right value to the customer. And then secondly, create that workflows that benefit the customer and obviously creates a longer, happier customer.
Matthew Feierstein: And where we can drive that from an integration to our systems of action standpoint. Obviously, we've got the road map historically on embedded payments, and that's where we came from, and that's where we've had the strongest penetration to date, but continuing to integrate things like customer experience solutions across those systems of action software are core to the playbook now and things that we continue to follow up on in back of our embedded payment strategy to continue to take advantage of that trend.
Operator: Our next question comes from Clarke Jeffries from Piper Sandler.
Clarke Jeffries: Eric, could you remind us what are the most common catalysts for customers to adopt one of your core systems of action. Is that growth in the underlying business? Is that searching for growth on digital? Is that pricing from a competing solution? And could really any of those catalysts increase or decrease in a recessionary environment?
Eric Remer: It's a great question. Thank you, Clark. And I'll start on and I'll let Matt take it. So on a high level, our new customer acquisition is digital. So the vast majority is coming from customers that are looking for solutions, and we are where we think they should be, and we kind of put a lot of energy and effort into our digital spend to make sure that we are represented in the right places. 85% of the customers that do join the EverCommerce ecosystem join self-serve. So again, from a digital standpoint, onboard self-service. We're really focused on that customer in need of a solution in the categories and the software solutions that we're -- we have great solutions. So getting in front of them in the right place from a digital standpoint and make them this easy to buy, easy to use and use on board is kind of core to our kind of value proposition.
Matthew Feierstein: Yes. And you said catalyst to adopt, and I go to Eric's point, really to the value prop that we offer. And so when you think about that, how do we get them -- are they interested in continuing to better market and sell their services, more efficiently operate their business and grow and retain those customer relationships. So the interest there is really their catalyst to adopt 1 or multiple of our solutions. And to Eric's point, we want to make it really easy for them to find, really easy for them to make that decision to buy, really easy to onboard and really easy to start utilizing that product. So take the value prop, put that together with how we get them all the way through the funnel for their customer life cycle, that's really driving -- that's really driving our overall value prop.
Clarke Jeffries: Excellent. And then -- and just a follow-up on a sub point of the multiproduct customers. Is this 5,000 per quarter cadence, something that you see as achievable going forward? Do you have an eye towards accelerating that? And maybe if you could help characterize for us how much of this is being driven quarter-to-quarter by going back to base in the existing set of customers? Or if you're capturing a large portion of the net new on any quarterly basis?
Matthew Feierstein: That's a great question. Obviously, we think we have significant runway here, massive embedded customer opportunity in that 600,000 plus customer base. So the majority of it today, I would say, is coming through that embedded customer base. We are also focused on how do we package and price, more of those products together with the system of action upfront and are making nice progress there. So really, there are both opportunities to kind of put our foot down on the gas and like I said, we're keenly aware of and taking advantage of that 600,000 plus base, but also want to make sure we can do a better job getting them in the door with more and more of that integrated end-to-end solution. So both opportunities and both things that we're trying to take advantage of.
Operator: And ladies and gentlemen, with that, we'll be ending today's question-and-answer session. I'd like to turn the floor back over to Eric Remer for any closing remarks.
Eric Remer: Well, thank you very much. EverCommerce had another great quarter as a team and continues to execute extremely well. We remain extremely excited about the large opportunity really to be at the forefront of the digitization of the service economy. We'll continue to focus on providing software and solutions to simplify and empower the lives of the service businesses that support us every day. Thanks again for joining today.
Operator: And ladies and gentlemen, with that, we will conclude today's presentation and conference call. We thank you for joining. You may now disconnect your lines.